Stuart Smith: All right, thank you everyone for joining us here today for the Third Quarter 2018 Financial Results and Business Update Conference Call with Progressive Care Incorporated, ticker symbol RXMD. Before we get started, I’d like to read the cautionary statement regarding forward-looking statements. Statements contained herein, that are not based upon current or historical fact are forward- looking in nature and constitute forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. Such forward-looking statements reflect the company's expectations about its future operating results, performance and opportunity that involve substantial risk and uncertainties. These statements include but are not limited to statements regarding the intended terms of the offering, closing of the offering and any use of proceeds from the offering, when used here and the words anticipate, believe, estimate, upcoming, plan, target intend and expect and similar expressions as they relate to Progressive Care Incorporated, its subsidiaries or its management are intended to identify such forward-looking statements. These forward looking statements are based on the information currently available to the company and are subject to a number of risk uncertainties and other factors that could cause the company's actual results, performance, prospect and opportunities to differ materially from those expressed in or implied by these forward looking statements. Now once again this is the Progressive Care Incorporated third quarter 2018 financial results and business update. I'm Stuart Smith from SmallCapVoice.Com and I'm joined by the CEO of Progressive Care Incorporated, Shital Mars. Shital, are you there?
Shital Mars: I am, can you hear me?
Stuart Smith: I can hear you loud and clear. Thank you so much. Well Shital, the floor is yours and then check back in with me when you're ready and I will hit you with the shareholder questions that have been emailed into us.
Shital Mars: Okay, sounds good. So I know that all of you have just gotten the financial statements in your hand. If you haven't had a chance to look them over, I do want to go over them as thoroughly as I can while still allowing us time for question and answers and to talk about some things on the backend. So I'm going to go over them briefly. If you have a chance to pull it up and follow along, you can go on with it but as you know you can always take time to review the financials at a later time. So I'm going to start with the balance sheet. We have few more cash as we did last year as you all know we completed the acquisition of Touchpoint. That is now consolidated in as opposed to in June 30 it was onconsolidated. So our cash is pretty much the same as we use the cash from Chicago Venture Partners to facilitate that purchase. That purchase is complete. We are working on that location by the way now with Touchpoint. We will be referring to Touchpoint as PharmCo 1002. Just to have some consistency in the branding, all of our prescriptions delivered from there has PharmCo labeling on it. So in our future financial statements and any press releases we will now be referring to Touchpoint as PharmCo branded subsidiary. Just to clear up any confusion at future points. We have about 1.2 million in net accounts receivable that's pretty standard. We haven't seen any fluctuations. We haven't seen anything from the PBMs, that would indicate any delays in payments. So we are pleased that we are continuing to maintain our accounts receivables that they're turning over on the same rates that we're accustomed to inventory [500,000, 488,000] to be exact here. As you know our inventory turns over every week so we don't hold a great deal of stock what we get in goes out, and so we don't have it a lot of risk of holding inventory in our warehouses. Prepaid expenses the vast majority of this is the remaining portion of the stock that was issued at the beginning of the year. Those all will vest pretty much by the end of the year. By December 31, so we will move all of this out here. As of December 31st financial report - you look down good will, this includes the money that we paid and any liability that were in excess of assets for Touchpoint now PharmCo 1002, and we some security deposits. Equipment, and I apologize for jumping around. Equipment in $500,000 that now includes the three robotics systems, that's the pro rata in Palm Beach, the ScriptPro and the TCGRx in the PharmCo location that includes also the cars, that includes leasehold improvements and all of the hard drives and infrastructure we've put in place to manage the location. So we are really well on our way to having the right equipment. As many of you know, the TCGRx the pro rata systems are similar to the same - are similar to the PillPack systems that you hear about on the news, we have the same exact machine doing the same exact work. So we are capable - the one thing that sets us apart is we're capable of delivering that on a local same day level whereas PillPack and other mail order pharmacies typically either serve long-term care institutions or retail on a mail order basis, which means there's a lag time between the order of prescriptions and receiving the medications. Going into our accounts payable and accrued liabilities, we're not seeing a huge increase about $100,000; $1.8 million in accounts payable. A lot of that is from our main wholesaler and amount owed to up about percent to our 340B contract. In our inventory we also have the replenishment of those goods, so those kind of net out unearned revenue is about $156,000, that allows for any time between when we bill for the medication and when the patient actually receives it, which is on average less than two days. So we have typically with refill, we will bill those three days in advance to ensure the patients don't have a gap in therapy and they will receive those medications before they run out of their prior fill. Notes payable 95, net of current portion that is net capital - and that includes capital lease obligation we have, just a few $100,000 deferred rent liabilities, these are liabilities that include any notes that we may have and capital lease obligations. Stockholders equity, we have about 430 million shares outstanding as of September 30, that includes all shares owed to Chicago Venture Partners. As you'll note that note is completely paid off, we don't have any debt on the books for that as of today. So that's a great thing, we have a pretty good balance sheet with which we can move forward on further initiatives. Let's go into the P&L. We did about $5.4 million in sales for the three months $15.6 million for the nine months. Again, this last three months includes PharmCo 1002 the second location in Palm Beach. So we are seeing about a 4% increase on the whole nine months on sale which includes that second location. We are really pleased with the level of growth we're seeing on our top line revenue and this is based on record setting months of sale. This year January and August were both records in terms of numbers of prescription filled, number of 340B, patients service, number of patients service, number of doctors service, number of physician service. So we are in - not only are we building revenue in major headwinds in the healthcare industry, we are growing our patient base, our market share, our geographic area as well. You'll notice that cost of sales has gone up slightly, it's gone up about 2%, so it was 76% now it's 78%. So that we're seeing about a small drop in the gross profit margin, that has everything to do with increasing drug prices and the IR fees. The one good thing about that is we do have the IR fees that are held by PBMs that offer performance based incentives which will allow us to have a return on those fees. We did receive the highest eligible payout from Humana this year at about $100,000 for meeting all three performance metrics. As of today we are still meeting all three performance metrics, we will have to close out the year with those metrics in order to see a full recovery of those PBM fees. But we are in good shape as of today, where we're still maintaining our performance in all three segments. Selling, our bad debt is negligible. We make sure, our accounting standards make sure that we collect on everything that we have authorized payments for from non PBMs. Small stock based compensation as you now we're amortizing that throughout the year and other SG&A that includes salaries. You'll have to note that this does include increases in salaries to our staff. We've increased our staff, so over 70 individual. We have increased marketing expenses, advertising, development of more social media channels, website, IR, PR consulting, auditing fees and things of that nature. So we do have slightly higher SG&A than we had in the in the prior year. But all of that is in furtherance of our plans to close out the year and going into next year. So we look at the loss from operations at $938,000 from the nine months ended September 30, about $438,000 of that is the stock base - $446,000 is a stock based compensation and the rest of it is increases in cost of goods and advertising and other investments we've made to prepare for the future. We've accrued some of those losses from change of fair value of derivatives. As I said before, we paid off all the Chicago Venture Partners note, so total loss is about $1 million. Again, not all of that is a cash based loss in the stock. And we do expect some recruitment, although it's in the terminal the exact amount that's why we have not accrued for it in this quarterly financial of the DIR fees, if everything holds we should have a return of those DIR fees but I can't give an amount as of today. Again about 430 million shares outstanding, that is net of shares owned - beneficially owned by PharmCo and by Progressive Care, which is circular ownership. So we do net those out for financial statement purposes but they are part of the issued and outstanding when you go and look at it on OTC markets. So cash flows, we do have positive cash flows from financing over the entire period of about $500,000. We have not usage of cash in operations of $135,000 and net usage from investing activities $400,000 that shows that we use the monies that we received from Chicago Venture Partners to buy the second location in Palm Beach, PharmCo 1002 and more the TCGRx and other equipment and vehicle. So we have a small decrease in cash over the total nine months of about $11,000. So I'm going to move now into discussion of what all of this means. As you know we are a fast growing Company. We are reaching record numbers. August was the biggest prescription count we'd ever had in the Company's history. We are getting more and more prescriptions every day. We do face headwinds as we've talked about in the previous call. We talked about DIR fees, we talked about reimbursement compression, we talk about benefits restriction, all of that stuff serves as mitigating factors to our growth. However, even that, even with those factors taking place in April, we not only didn't miss a beat in our revenues, we replaced all that revenue within the three months of them taking place. But we have exceeded that revenue base. So what we used to have from higher reimbursements in compounding, what we used to have in more coverage of custom compounds in the previous year, we've completely replaced all of that income and so we are moving forward into the future on a more stable footing. Our sales is more diversified and at than ever getting prescriptions from hospitals, from doctors and specialists from everybody under the sun, we are seeing growth further out from the North Miami location. So we have - as far as south as Homestead which is about 50 miles south of us in North Miami Beach to as far north as Port St. Lucie which is another hundred miles. So we are seeing a lot of prescriptions coming in and the reason for that is the performance. I want to talk a little bit now about the model and how we are going to be moving forward into the finishing up this year and going into next year. We know with 100% certainty that the model is correct. We know that the way we do things works. We know that doctors are switching their patients from chain pharmacies, from PVM owned pharmacy to us. Why? Why does that matter? What that means to the bottom line? It matters because we are going to see increasing revenue. We are going to see people and facilities wanting to partner up with us on all of our technological advancements. We're going to see reimbursement of our DIR fees. And what this allows us to do is if we have all of these opportunity to show our performance that provides us leverage, that provides us the ability to negotiate with PVM, that provides us the ability to withstand pressures to be removed from networks as those networks restricted to eliminate independent, they usually will try to remove mom-and-pop and work with just the chains like Walmart or CVS or one of those but they can't really exclude companies like PharmCo because at the end of the day if PharmCo stays, insurance plan money. And that leads to more revenue for us that meet some more market share for us, than we need some more expansion opportunities for us. We are receiving calls from New York, from Texas, from Georgia, from healthcare professionals all across the country especially in the states that we're licensed in. An insurance company in the states that we're licensed in, who wants to work on pilot program. So we are now are working on negotiations and proposals for those programs. So going into what we've accomplished over the last nine months. So we've had record-setting months in terms of prescriptions filled, record-setting revenue, five-star pharmacy payoff of the debt, full integration of the new location which as you know getting past the regulatory hurdles of changing the business licenses, so all reflect the change to PharmCo, changing the software, having the VPN in place, doing the HIPAA Security that we need to have, having all of this protocol that we need to have in place for full integration and full marketing capability, we are now at that place. We now have the ability to go into Palm Beach area and market ourselves as a PharmCo, use the performance that we’ve had in Miami and leverage it to those patients who are starting to see some success. So we did have a minor slowdown during the transition in softwares, during the transition in our technology over there and staffing that we have to add more staffing and more infrastructure for the delivery capability that they were used to. So we did have a slight slowdown in just some prescriptions not being sent properly, not being received properly by the system so it took a little bit longer to fill those prescription than they usually - than they did before. But all of the issues have been resolved and we're looking forward to seeing some really big growth in that second location by the year as I said before I want to see between 20% and 30% and I know I can deliver that easily before the year is out. We did add two new 340B contracts again because of our reputation as a superior pharmacy in the industry. So more and more clinics are coming to us. We are seeing more and more indications of interest from other clinics, and we are reaching out with those clinics and those covered entity is to do more 340B. Now the only thing about 340B and as I have explained this before, when we fill the prescription, those reimbursements are on behalf of the covered entity. So we act as a pass-through. So our top line while we may have had significantly more billing flow through our pharmacy software then is reported on our financial statement, remember the drug cost are also not ours, those are borne by the covered entity. So when we have 170,000 or so in payments from 340B entities for providing this service, all of that is profit. We don't bear any of the cost of the drugs, so we don't have to report any of the top line revenue that those fees are sealed and they are the profit on those sales. So we've raised nearly $1.4 million for 340B entities in the third quarter. In October of 2018 we will see an increase of that both because two contracts are going to come online in October 1 but also it increases from those entities that we had prior where we're seeing significant increases in this fourth quarter as there being that are our level of service warrants recommending us to their patients, eliminating their exposure to other pharmacies. Again we are licensed in 14 states, and I'll talk about when we get to the question-and-answer session, I know there are a lot of questions about the number of states and the future of our states, so we will go into that. And then we have been publishing a lot of articles. One of things we worked on really hard over the last six months and especially last four months is trying to build the exposure of what it means to be PharmCo. A lot of people don't understand what PharmCo means, what it is we do because when we interact with the pharmacy we were used to walking past aisles and aisles of groceries to get to a pharmacy technician who gives us our medications every week. That's the limit of our interaction with pharmacy. That is not what PharmCo does. We are advanced pharmacy services. We are a healthcare company. So we do pharmacy - pharmaceutical coaching, medication therapy, management, consultation, education we do a lot more than just put pills in the hands of patients, we work with doctors, we optimize medication therapy, we save insurance companies money by examining patient medication therapy and making sure the medications the patient is on are cost effective and that is why insurance companies are trying to partner with us on program that will benefit their members, We're talking to a number of institutions about how to integrate pharmacy into the healthcare space, into the patient's care team and by doing that that will allow us to have more stability. Now we as a pharmacy just PharmCo have better stability in our patient base, better stability in our physician base than anything else. I know that there are some questions about attrition, I have seen some things where patient or our shareholders are having questions about whether we're losing grounds, we don't lose ground it patients try PharmCo they don't because we can do everything a pharmacy can do, everything CVS does, everything Walmart does, everything a PBM pharmacy does and mail order pharmacy doesn't and we do it better. So if you like what we do there is zero reason to switch everybody else is going to charge you more money. Everyone else is going to deliver a poor service. So there is no reason to switch. Once you come to PharmCo is a common joke, once you are PharmCo you are forever PharmCo and does with our stuff too. We have numbers of boomerangs who think that they want to find a job somewhere else, within two weeks they are back at PharmCo because we're the best and they know that. And so we're seeing a lot of advancement, we’re seeing a lot of opportunity, and I want to get now - I know I really fed up and glass over the financials. I hope that we’ll do another podcast with Stuart, and he can go further into detail. But I do want to get into the question-and-answer because there is a lot to talk about and there is a lot of exciting things going on here.
Stuart Smith: Well, excellent, thank you for that overview. Shital is now on to the questions. Once again listeners, I appreciate you sending these questions in. You are always able to do so. You do not need to wait for the press release, you can send it to me as many of you do whenever the question strikes you. So you can send those towards at info@smallcapvoice.com or my direct email is ssmith@ smallcapvoice.com. So let’s start with the questions and here we are on the new location. What are your plans for the new location?
Shital Mars: So we, I forgot to mention, I can't believe I forgot to mention, we signed an agreement to buy a building. This is humongous news. Anybody who is stopped by our pharmacy knows that we are bumping into each other. You have to glide past a lot of shoulders to get anything done over here. And that is a testament to our growth. Growth is a great thing and so we are so excited to be able to have our own property to pay mortgage and have equity in a piece of land. And that's going to do wonders for our growth. Now we're not inhibited, now we can add more machines, now we can add more tele-pharmacy kiosks, now we can have more staff, more development of our mail order, more development of our long-term care. We are no longer - once that new location closes, we will no longer be inhibited in our growth in any way for a number of years. So we are very excited to move forward. That closing I do anticipate happening if not the end of this year the very beginning of next year. I know that the holidays are coming up, so there could be some delays just into that and not do anything else. We've spoken with the bank, the mortgage is well on its way to being approved if it's not approved already. We have no indication if there's going to be any hiccups from now until when we close. I know that there are some questions about the structure of the deal note. And pardon me Stuart if I'm jumping around here. I know that there are some questions on the structure of the note, for those of you that are wondering on that, we will disclose the full agreement on the note at closing. Again, once we sign, once it's real, once the money is in the bank, once we have the keys, then it's real for everybody else and we will disclose the note and hope that there's no changes between now and then. Just to be clear though there is no discount on the convertible portion of this note. We do have to affirm the principal balance which is $300,000. We can pay that in cash at any time after closing, there's no prepayment penalties. So there's nothing to worry about there, it is an equitable deal but it does provide us the opportunity if a year from now. Again, that note is convertible in one year. We wouldn't have to come up with the cash right away, we do have the opportunity to use the cash for our growth and our capital needs and we're not talking about spending a lot of cash in that. That is based on market rates a year from now not today. So as we grow and as our equity and our share price improves over the next three months and over the next 18 months that will limit the number of shares we would have to issue if any for the convertible note. So it was beneficial to us to not have to come out of pocket for $300,000 right now because we have a lot better uses for it. Now, the plan for how we're going to use it. Again, I talked about staffing, I talked about tele-pharmacy, I talked about mail order and long-term care, I talked about Discharge, I didn't talk about DischargeRx and hospital programs, getting mail order licenses, accreditations and an expanded compounding lab. So once we have the facility built out, once we have a licenses s in place, we will be consolidating all of our operations that is currently happening in north Miami beach. We will retain a small footprint in north Miami beach in that same 901 location, we have 5,000 square feet there, we'll bring it down to about 1,000 square feet to accommodate a lot of healthcare facilities we have, Jackson Memorial right down the street from us, we have clinics and patients that reside in the area, that come into the pharmacy and still view that as a convenient location for them to communicate with us. So we are going to retain that and we do believe that that's going to be a cost effective opportunity where we'll have enough prescription revenue from just that small two to five mile radius to cover the cost of that bay. The rest of it essentially as we do 2,000 to 3,000 prescriptions out of that one location. The rest of it the other 20,000 or so prescriptions a month that we today will move and also all of our administrative staff will move. Right now we're operating two separate leases. So I'll have an office inside that location, we won't have to have this other office space, and all of our files and everything will be maintained there. We won't have to have as many storage units for everything. So once the two year lease is up in December 2020, we will greatly reduce the cost of our real estate.
Stuart Smith: All right, excellent. So I'm going to go ahead and let everybody know what that question was because you really did address and it's one of the terms of the $300,000 convertible note and as you pointed out the terms will be disclosed later once everything comes to fruition. So let's jump to a different question if that works for you Shital. Will you talk about the Company's current opinions on any changes in the Company's share structure?
Shital Mars: Okay. So I know that there are a lot of questions. I know everybody has a fear of rehearsed later error or something of that sort. And I've said this in every conference call. There is nothing we can do in this office between me, the Board members or any preferred shareholder, the preferreds don't get to vote on changes in a share structure. So if it becomes necessary, again, not to do it for vanity not to do it just to eliminate to full the shareholders of which there are none, every shareholder is valuable. If it becomes necessary for the uplift, if it becomes necessary for an acquisition, if it becomes necessary for a financing arrangement that will provide benefits to our shareholders, it will be up to the shareholders to evaluate whether what the appropriate course of action will be. And that could be a reverse split, that could be an increase in authorized share, that could be any kind of share structure change. We cannot do that here, and the shareholders will be fully involved in that decision and it will be up to them to determine what's in their best interest. And so right now my opinion is that it's too soon to be talking about changes in share structure. Once that happens, we'll have a shareholder meeting and everybody will be invited and we hope that everybody comes and evaluates what's in front of us and we move forward together as a unified company.
Stuart Smith: Excellent. Well let's get an update on organic growth initiatives like DischargeRx and other partnerships.
Shital Mars: So we have a tremendous amount of opportunity. As you all know I spoke at the Florida Telehealth summit, and I have literally people chasing me down leaving the plane to talk to them about opportunities to work together on DischargeRx, on tele-pharmacy and working in other states, working at risk clinic, working with technology vendors and suppliers who want to develop support and platforms. We have a plan here for all of these initiatives. We know what we want to do going forward with DischargeRx. We know the programs, we want to have a place. We've connected with a number of people and we are working on doing it right. But one thing that I know is irksome for many of our shareholders is it doesn't seem like there is advancement. But let me let me explain that a little bit. There is a ton of advancement, the tele-pharmacy platform works. I demoed it live at the Telehealth summit, and people were amazed at what it can do. People were telling me - and we're talking about representatives from Mayo, representatives from University Of Florida, representatives from University of Miami, John Hopkins, who were looking at this and saying this is what we need. And so we want to make sure it works. As you all know I am shoulder-to-shoulder with people here. If I have this, if I deployed in a major facility like Mayo Clinic in Jacksonville or University of Miami, and a patient makes a call from their bedside and if not answered and that connection is not perfect, we can lose out on what could be the next evolution of pharmacy. So it has to be right. So we are working to make sure that not only our technology works, but that the technology in all of the facilities work. Century Village is one of those where we moving forward on the kiosk with Century Village. Again, the internet capability, the broadband capabilities of each of these locations have to be commensurate with the technology involved. So we are working with a number of places to get them upgraded. We all need to move past dial up and fax numbers and we need to start moving to the 21st century of mobile and 5G and cable Internet and P3 and all that stuff. We're working on it, we know that in these communities they are a little bit behind. It takes them time to upgrade their systems. So we are working with them and we're giving them all the specifications that they need. We anticipate in the coming months to be able to start deploying all of our technology to start deploying telephonically to have more resource centers in these senior living communities, and to have the infrastructure with the kiosk and with the staff and with the pharmacist to be able to answer those calls seamlessly. So that's DischargeRx with the state. I know we've remained stagnant on the number of state. The reason for why we have an advanced in those states is again the laws have changed, and the change minute-to-minute. I know you heard that last year, I know you heard that six months ago and it's starting to get tiresome. Believe me it's tiresome for us too. When we file an application they say "Oh, it's not enough. You need to now jump through this hoop and that hoop and this accreditation and that accreditation, and have somebody come to our facility in the state that you're applying to." It's bothersome to us too but we're navigating those hurdles. We want to be a national brand. We are going to be a national brand. We have to do it right. We can't risk what we have today, this pharmacy is too valuable to take shortcuts and try to move things faster than is due. And so we do have several states that are on us and we anticipate moving forward in getting those licenses and on top of that getting accreditations. We anticipate going forward that accreditations will be necessary, that's why we got the legit scripts for us, that's why we're updating all of HIPAA Security to make sure that our data cannot be breached by any reasonable measures. So we're doing all the things necessary, and the next phase of that is getting accreditation under all of those specialty contract and the order contracts. That will be - they're not required today, they will be required. So we're doing advanced anticipation of that and we will be moving forward in that direction. As you know with those accreditation than some of you may know or may not, it takes upwards of a year to get those accreditations. It's not something where you send a form and they send an inspector and you have approval. It takes a year and it takes constant follow-up and takes constant development. But we have the people here to do it and we are doing it.
Stuart Smith: Well, you touched on this a little bit in that response but what about assisted living facilities, why haven't we moved on to other facilities similar to Century Village?
Shital Mars: Again, same thing. It's because that their technology, their Internet, again is not suitable for what we're trying to do. Imagine - so anybody - I'll give you an example, anybody that's trying to do face time in a dead zone that's what it's like. So you get lag, you get poor connection notice, you get poor audio quality, you get poor picture quality. It's difficult to implement a technology like ours when you have that kind of frill. But again, we have a number of assisted living senior living just like the Century Village who won't need the kiosk, we have with kiosk partner, we are ready to deploy when they are because there's no point in having a kiosk there that doesn't work. If you tap a button and you just get the spinny bars, it's not worth it. So we are - we have to upgrade them not us. One thing I did want to touch upon, I know that there were questions about tele-pharmacy in the state. Yes, we can use tele-pharmacy and telemedicine integrate with telemedicine in any of the states we are licensed in. So that's a great benefit, we are talking to a number of people to implement telemedicine. Because as you know, we are pioneering tele-pharmacy, it doesn't exist except at PharmCo. So we are pioneering that. So we're working with people who are experts in the telemedicine filed, on how to implement tele-pharmacies wherever you are. We did have indications of interest from healthcare providers in New York, in Texas, in Georgia already to implement our solutions there. So I know that we can move forward with that and that also brings additional sources of revenue. We can license our technology, we can charge healthcare facilities and we're working on getting a government granted pilot to do telehealth and tele-pharmacy in Florida and all of these other states to provide us with an additional source of revenue. But again, those things take time. Anybody that's tried to work with the government or work with a major insurance carrier knows it's not two days or two weeks, it's month and months of time, months and months of work. But we have those opportunities and those opportunities are for us and us alone because we're the only ones that have it. So it's very exciting, so anybody that has had that question about whether we can take tele-pharmacy outside of Florida, yes, we absolutely can.
Stuart Smith: Okay. Now again I apologize because you have touched on this a little bit but maybe you want to add on to it. Why hasn't there been any other movement for out of state licenses? It seems like we do for a spell and then stop.
Shital Mars: Yes. And I did touch on it a little bit. I know that we want to get these questions answered as thoroughly as possible. It is, it's the regulatory hurdles that we face going forward with other states, and it's not just with government, it's with PBMs that are, yes that has to be on board with it too, name, place, a number of restrictions. Now the great thing is, to move towards a positive because that's what I'm always about. The great thing is we have outperformed. We have our insurance. So where we are facing restrictions from PBM, the first thing we tell them is before you say we can't help your members in another state, you might want to look at what we've done, you might want to look at how much money we saved you on the medical level before you say no. And then they take another look and so we are working with PBM but insurance carriers directly, as you know insurance carriers contract with the PBM, the PBM sets the rules. However if you contract with an insurance carrier to service their members, that supersedes any PBM contracts. So we do have opportunities especially with insurance companies that have good patient base in South Florida, who are recognizing the benefits of working with PharmCo to go around those hurdles of going into more states. So now that we have those opportunities we are pursuing them.
Stuart Smith: Very good. Well, we have a lot of questions regarding this area. So listeners, thank you once again for sending your questions but I did have to consolidate them. So I'm just going to ask you, tell us all things update related with the CBD line of business.
Shital Mars: Okay. So this is the most exciting thing for us. We are a healthcare Company and we want to make sure our patients have access to the leading dietary supplements, medications, whatever the case maybe that will alleviate their pain, alleviate their stress, make them feel better, have better wellness, have better quality of life. So we know what we want to do with CBD. We have the blends, we know how we want to mix them, we know how we want to use them, we know the purity standards, we know the growth standards, the plants we want to use, we've done all of that research. That research took a lot of time because again not all CBD is made equal and anybody that's using it, this is momentary talking. Anybody that's using CBD right now, look at your label because not all of them are pure, not all of them are using the highest quality plants, not all of them are using the highest quality production standards. We only want to work with the best and we do - we are at the NDA stages now. We have a couple of manufacturers trying to navigate how will a partnership between us and them would work. The other issue we face and not to put a damper on this but the other issue we face is the law. And in January we anticipate the farm bill being signed into law by the president. So we are looking out for that and how that will affect the CBD market. We also know that the FDA has now weighed in on CBD with Epidiolex. And we have reached out to the manufacturer of Epidiolex and we will see where that will take us. But that does change the dynamic a little bit because what used to be an over the counter dietary supplement that you could get anywhere now has been moved to prescription grade C4. So that could change the way the FDA C5, that could change the way the FDA and the DEA look at CBD on the shelves of pharmacies. With retail institutions, I don't know how they'll treat it because they don't regulate those companies but as a pharmacy, we have to be careful because we are regulated by the DA and the FDA and we need to protect the interests of shareholders. We don't want to risk what we have as a healthcare institution to experiment in a shortcut taking away on just moving into the CBD market without having it done right. That being said, these are exciting times for us. We know what we want to build. We know we have the plan. We know we have the patient base to market our services and we have the reputation. So we're going to pull our mean behind these products, which is a big deal. Again not all CBD is made alike. This is going to be far close reputation online with the CBD brand and we have two manufacturers that we're working on NDA's with to explore those partnerships. So very exciting times. Look out for more updates in January after the Farmville but we're not waiting for January. We're trying to get things in place so that once the Farmville passes, we can start moving forward on production. And then we have clear rules and we'll know what to do, but until then, there's a lot of different interpretation of the law and we can't risk shareholder value by that.
Stuart Smith: All right. Let's do the same thing on this one. Let's talk about all things SEC filings. So your filing coming up, let's talk about it.
Shital Mars: Okay. So we are -- nothing has really changed. We still want to forward with becoming an SEC filer. We still want to become fully reporting. Nothing has changed on the anticipated timeline. As you know as I say in all my calls, I hate giving timeline, but today nothing has changed. We are still working forward. We are still in the process of doing our S1. We had to file these financial numbers. We will incorporate the stub period into the S1. Now the September financial and keep going forward on that. We are in communications with the SEC about what they will need and we do anticipate that they will need two years of audited financials and we're prepared and we've already started working -- started communications with an SEC, PCA auditor and once that comes to fruition, you guys will be the first to know.
Stuart Smith: All right. Excellent. Well let's talk about acquisition and expansion, giving us an update on all Palm Beach location and other areas as well. So let's talk about acquisition and expansion?
Shital Mars: Okay. So let's about -- we'll talk about Palm Beach first and I know I might be moving around but talk about Palm Beach first. Palm Beach is doing really well. We had to update their technology as well. We had to update their software. We had to integrate with this here because as you know we have been servicing five order counties with same-day delivery from Palm Beach. So now in order for us to move those prescription to Palm Beach we had to update their software. We had to update their servers. We had to update their phone lines, their Internet, their everything. And so now that they are upgraded, we also, now to go back, but we also had to hire and train the staff. The staff that was there was used to a different demographic. They work a lot with long term care institutions which is why we purchased that pharmacy, but we serve as patients all over the state and patients of broad demographics, patients in Spanish and Russian, Indian, Chinese, you name it. It doesn't matter where you are, where you come from, we service you at the same level. So that pass we needed more staff and they needed to be trained and ready to go to service these patient. So that took a little bit of time, anybody that's trained anyone knows it takes time to get people ready and so now we believe the staff is ready and we have -- we changed all of their marketing material, rebranded everything to PharmCo. We changed all their packaging, changed all their labeling, changed all their phone messaging, their website everything to integrate with PharmCo and now we can move forward using PharmCo's name and reputation in the Palm Beach area and we are moving forward. And again I do believe I have promised everybody, I wanted to have 20% to 30% increase in revenue and prescription count by December. We achieved that in a very short period of time. We're going to achieve that through the remainder of the year and you'll see growth in revenue and profitability in touch point, probably by December and into next year and into the beginning quarters of 2019. So we are very excited with moving forward with that and they have the machinery and equipment and the vehicle all up-to-date now. So were ready. Acquisition on other side, we are moving forward in that direction as well. I hate talking about things before they are, I can't put apples before the cart. So I don't have any update on an acquisition target right now. We are talking as I've said in many calls, we are talking to a number of companies. We are moving forward with a number of companies to get to a place where we're moving into the Orlando area and corridor into the Tampa area, further up the East Coast of Florida. So I don't like talking about it before it's done, but once we have any agreements signed, the shareholders obviously will be the first to know, but just to allay any fears that are out there, we haven't forgotten it. We work on acquisitions every single day, further the calls we have every single day and we are moving forward with it. So I don't want to give timelines, but I don't want to give anything else because everything is very soon in the process, but as soon as we have anything find on paper, we will disclose it promptly.
Stuart Smith: Excellent. Well Shital thank you for that. That wraps up our question-and-answer session. Any closing thoughts or comments for your shareholders who are on the call.
Shital Mars: Yes I know, I get very long-winded at the end of this and I get very sentimental because I feel so passionately about what I do. Let's talk about the future, let's talk about healthcare. Healthcare as it pertains to pharmacy, going forward will be defined by Progressive Care. Everybody else wants to pretend that they can make pharmacy go back to the way it was 10 years ago. It's not happening. The decades of our youth are over and I have no interest in looking backwards. I have every interest in defining the future of this company and defining the future of pharmacy in general. So that is why we have developed our technology. We are on the precipice of Phase II of our evolution and as anybody can tell you, evolution doesn’t happen in a day, but we faster than anybody else because we are lean ship. We will be the ones that bring the technology of the future to pharmacy. We will be the ones that develop it. We will be the ones that define the rules. Anybody that wants to become a pharmacy in the future, will have to learn to be like Progressive Care and anybody that wants to try to make it just a medication business, just a delivery business, just an automated business, hands-off approach to patients business is going to fail because patients need support and pharmacies all across the country good ones, reputable ones are failing their patients because they are not integrating into their lives. They are not providing the consultation. They are not providing the service and we are. So healthcare institutions are looking to us to figure out what they should be doing as a company. What they should be doing for their patients. They ask us what they should prescribe and that's how we like it. Any company moving forward will have to model us. We define the model and so the future for Progressive Care is bright. The future for our shareholders is bright. We are not just going to be a healthcare company. So that is our love. That is what we want. That's what we care about. Patient outcome is more important than anything else in this world but we're are going to be a technology company too and not just a spit out. That's to define what solutions will be there in the future. If you look five years from now, PVS, Walgreens, Walmart will be using the solutions we developed and we pioneered and they're going to have to look at us for what we just like the Xerox years ago, had developed all of this tech that were then used by other people. I don't want to be the Xerox, we're going to own that tech. We're going to be the one you have to come to if you want to advance in the technology sphere of patient management, of healthcare management, of telemedicine, of tele-pharmacy, of whatever. If you're helping a patient and healthcare happens at home, somewhere PharmCo and Progressive Care is going to be involved. And we are going to be synonymous with care. So that's the future. That's what we're working toward and that's what all of our shareholders have to look forward to. This company is nothing to be played with and when I talk about this Company and how excited I am, that's not to exaggerate. I don't deal an exaggeration. This is where we are, this is where we're going and everybody needs to start waking up and smell the future because here we are. So thank you very much for listening to me. Happy holidays, happy Thanksgiving. Whatever you celebrate be fat, be merry, get a little drunk and be excited because there's a lot of exciting things happening at Progressive Care, a lot to be excited about and a lot to be optimistic about. So thank you very much.
Stuart Smith: Excellent. Well, thank you Shital. Once again speaking with Shital Mars, CEO of Progressive Care Incorporated. Keep those questions coming in, keeping following the Company under the ticker symbol, RXMD. Have a great night.